Operator: Good day, everyone. Welcome to the Hubbell Incorporated first quarter 2012 earnings conference call. As a reminder, today's call is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. Jim Farrell. Please go ahead sir.
James M. Farrell: Good morning everyone, and thank you for joining us. I am here today with Tim Powers, our Chairman, President and Chief Executive Officer; Dave Nord, our Senior Vice President and Chief Financial Officer; and Bill Sperry, our Vice President of Corporate Strategy and Development. Hubbell announced its first quarter results for 2012 this morning. The press release and earnings slide materials have been posted to the Investor site of our, investor section of our website at www.hubbell.com. Please note that our comments this morning may include statements related to the expected future results of our company and are therefore forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Therefore, please note the discussion of forward-looking statements in our press release and considered incorporated by reference into this call. In addition, comments made here also include some non-GAAP financial measures. Those measures are reconciled to the comparable GAAP measures, and are included in the press release in the earnings slide materials. Now let me turn the call over to Tim.
Timothy H. Powers: Thank you, Jim. Welcome everyone and thank you for joining us this morning. I’m very pleased to report our strong first quarter results. Our sales, operating profits and earnings per share, all showed healthy increases compared to the first quarter of 2011. Now let me turn it over to Dave for more color on the quarter, and our outlook for the remainder of 2012. Dave?
David G. Nord: All right. Thanks, Tim. Good morning, everybody. Thanks for joining us. I'm going to start on page 3 on the accompanying materials. From the quarter, we’re very pleased with the strong start to the year with net sales up 10%, really with some broad-based growth across our businesses. Particularly higher demand in our utility business led by transmission projects, industrial market, strong led by higher industrial production and increased activity in the energy markets, a little weakness on the new construction spending, but offset by higher demand on the renovation market. So, all in all very good growth there, and within our growth was also the benefit of our price and acquisition, so quarter growth up 7%. Operating margin of 14.1% was up 140 basis points, big contributor to that was not only the volume increase and the incrementals, but what we are pleased has continued favorable price in excess commodity costs that we first saw in the fourth quarter. So all that’s giving us a very nice earnings per share of $1.05 of 28% from the first quarter of last year. Let me get into more specifics on individual alliance. First, let's talk about the sales side, sales of $723.8 million up 10% as I said; we’ve got a lot of positives in our end markets even in the non-residential renovation and relight. New construction side, still slow to recover and certainly being negatively impacted by the lower spending in the public sector. The industrial side, industrial production or extractive industries all very positive, the one market that’s down for us that we anticipated was our high voltage test equipment in the quarter. Utility side, good growth across the board, transmission, distribution as well as international and even on the residential side, good market growth there, largely attributable to the very strong increases that the market has seen on multi-family housing. So, all in all, very good, very good performance on the sales side. Let's turn and I turn the page to page five and so we’ll look at the gross margin, certainly that volume is help to contribute to a gross margin improvement of 110 basis points, but we’ve also had good performance on the price side with price in excess of commodity costs in the quarter nearly offsetting the negative that we experienced in all of 2011. But there is more to go along with that and I’ll talk to that in a bit. On the selling and administrative side, continue to focus on the S&A side working the volume leverage. But of course, this is the area that is most impacted by some of the cost headwinds that we noted last quarter and in our investor meeting particularly around pension and benefits, which ends up costing us probably 30 or 40 basis points on that line, but otherwise we think very good performance on the selling and administrative side. So all of that leading to our operating profit of $101.7 million up 22% and up a 140 basis points both from the gross margin improvement as well as the S&A improvement. If I turn to some of the other P&L line items on page seven. Our other expense of $7.1 million down about $2.5 million from the first quarter of last year it’s largely attributable to the FX losses that we experienced in the first quarter of last year are not repeating in the first quarter of this year, and net interest expense running comparable to last year. For the tax rate in the quarter 32.8% it's up a little bit from our full year expectation, because some of our tax planning strategies come into play later in the year. The big driver to the increase year-over-year of course is the lack of the R&D tax credit renewal, so this year we’re facing that headwind, currently, no expectation that that will resolve itself until certainly later this year. And the question will be whether it can even get addressed in that period post-election before year-end. I think there’s a lot that’s going to fall into that period. So until then we are operating on the basis that it won’t be renewed. So we’re focusing on a 32.5% tax rate, certainly trying to do better, if we can find ways to do that. So all of that turning to the next page net income of $63.2 million, up 26%, big contributor to that being the improved operating profit, the benefit of the lower FX losses in the higher tax rates. And that then contributing to our earnings per diluted share of $1.5 up 28% from last year's $0.82, helping out the earnings per share is also a slightly lower average share count from the first quarter of last year. The first quarter of this year average share count was $59.9 million. We bought back in the quarter interestingly 549,000 shares consistent with our ongoing strategy to offset dilution from shares under equity issuance. So the quarter we ended the month of March with a share count of $59.7 million, so all in all a very excellent start to the year. If I get down into the segment level, let’s first talk about the Electrical segment results on page nine and you see there reporting sales of $505 million up $39 million or 8% with really broad-based increases across the business. Core volume up 5% with acquisitions adding two points and price a point. And really to say, we’ve got broad-based improvement our Electrical systems products was up low double-digits, even the lighting business was up low single-digits largely due to the strength of the residential lighting business although the C&I lighting products was up low double-digits really because of the relight and retrofit volume there. Operating profit of $63.8 million up 11%, 20 basis points higher sales contributing to that, the incrementals on that volume and we’re typically running in the mid 20% range and that’s pretty much what we saw. Price was in excess of commodity cost in the segment, but this is a place where we’re also dealing with the higher inflationary cost particularly pension and benefits, which so far in the year those costs are in excess of our productivity. Typically, our strategy is to try to offset inflationary cost pressures with productivity initiatives. Our productivity initiatives are running consistent with what they have for the last several years, but the inflationary cost pressures particularly on the benefit side have been a little bit higher. So we’re hoping that the and working to maintain a positive price commodity cost to help offset that as we go through the year, as we try to manage those cost down and identify and implement more productivity gains. But for the quarter that’s really part of the story within the Electrical segment. All of the businesses within that segment and all of the product groups running positive as I said except for the high voltage test equipment, but otherwise very good performance with strong sales and profit. The Power segment business, very positive performance there continuing the trend, they experienced for most of last year, sales up 14%, price contributing about two points of that increase. So the core volume of 12% really across the board strength in transmission, international growth and even higher distribution spending in that business, the operating profit more importantly of 37.9 million up 46% to 17.3%. Very good year-over-year improvement, but we got to keep in mind that the first quarter of last year was a particularly low quarter as that was the peak of their negative price cost comparison and also last year started off much slower on the order side and that picked up as the year went on. So the easiest compare of the quarter but certainly we’re very pleased with the improvement and with 17% margin business in the first quarter. So all in all, very good performance in the Power segment but really across the board. Let me turn now to cash flow. On the cash flow side, free cash flow generation in the quarter of $33.7 million, little more than half of net income. Obviously, that’s not at the level that we target for the year. But the first quarter is our seasonally lowest quarter based on activity, based on the expenditure and payment of year-end accrued amounts particularly on the customer incentive side. And what we also experienced in the first quarter of this year is a little bit of build in the inventory and really around two reasons little more than $10 million there. And really for two reasons, one is, rebuilding some of the inventory that was liquidated, if you recall we had a very strong shipment quarter at the end of last year as a lot of the orders received in the second and third quarter got scheduled for delivery in the fourth quarter. So, took down the inventory, as well as some intentional build of inventory in anticipation of continued market growth this year. So all very much planned, very well managed and we’re very pleased with the performance. Our CapEx had a $11 million is very much on track with our expectations for this year, the decline from last year, you recall we had the purchase of a building in our operation in Switzerland last year for $13 million. So adjusting for that our CapEx investment starting the year was actually a little bit higher than last year and I think, I’ve mentioned in the past we’re targeting that adjusted for that building acquisition will be up about 25% in our investment in CapEx. So, ongoing good performance on our cash flow, our working capital continues to improve year-over-year, a lot of focus on improving that whereas we had a very strong fourth quarter on a trade working capital basis but finishing the first quarter at 17.9% with improvement in our receivables outstanding, our payables performance, offsetting with the inventory build as anticipated. So, good focus on there, all that leading to the good cash generation, if I turn to capital structure, you'll see we finished the quarter with $562 million in cash, actually a little bit down from year-end despite that free cash flow generation of a little over $30 million, we had some share buyback, we had our dividend and I’ll note that as a reminder that we actually increased our dividend in February again by 8% bringing us to $1.64 annual basis. And we also had a small acquisition one of our two acquisitions so far this year for about $11 million. In the first quarter, we’ve actually added another acquisition as mentioned in the release that closed last week that was a $42 million acquisition also in the Electrical segment. And I think Tim will talk a little bit more about that later on. So all of that talks about how we did in the quarter. Let me talk a little bit about what that means going forward for the rest of this year. We obviously started the year with caution and conservatism and I think the performance in the first quarter has given us more confidence in how the year is going to shake out and so when we look at four end markets, we certainly think three of the four have improved, since the January call and even in our investor meeting. There is some element of volatility I think that’s been created with weather, the strong weather, the very warm weather has I think impacted some of the profile of spending particularly in the construction related businesses, I think, I mentioned that we saw January and February better than expected, better than historically experienced. And I think that somewhat attributable to the ability to do some of the construction activities out in the market and I think others have said that and I think we see that even in some of the market analysis that comes out particularly when we’re looking at new housing starts and other areas that may have slowed in March from the January and February levels, but still at very good level, so it’s made forecasting a little bit more of a challenge, but certainly the bias is all for the upside. If we go around our markets, first on the utility side, we’re looking at that market being up 5% to 7%, that’s about a point better than we thought couple of months ago. On the residential side, also we’re looking at 5% to 7% growth up two to five points from what we thought before. Obviously, still a small part of the business so not as bigger contributor, but I think all of the signs are a slow and steady pace of growth, not the multi-family providing a lot of energy early on, but the single-family starting to get more traction, and that goes well for if not later this year into 2013 and 2014. The non-residential side the one market that we still think is going to be low single-digits in the 1% to 3% range. The relight retrofit energy efficiency side of that market still remained expected to stay strong. The private sector is just slowly improving, and marginally offsetting the weaker public sector. So, that’s one that we’re not seeing great strength, I’m not expecting great strength this year, but certainly is positioning well to have good growth next year. And lastly, on the industrial side, also that’s an area that we think probably has more opportunity and market growth and we think there’s a couple of points better growth in that market, than we originally thought, so we’ve moved our assumption there up to 4% to 6%. So all of that leading to end-market growth as we measure our end-markets at the 3% to 5% range. And certainly I’d say the bias we’re hoping will be more likely toward that high end of that range. So, how does that play out to the segments? We turn to page first on the Power segment, looking at that overall segment to put up 7% to 9% sales growth, that’s about a point better than we thought last quarter. And that’s partially due to, largely due to the market maintaining our thoughts on pricing there. On the Electrical side, moving that up two points to 5% to 7% reported growth and that’s due to combination of stronger market dynamics, as well as the impact of the acquisitions that we have closed this year that we think will give another point of growth. So when you put that all together, we are looking at overall sales growth of 6% to 8% that’s up from our prior guidance of 4% to 6%. So we put that all together we are looking at the sales up 6% to 8%, our margin expectations continue to be approximately 50 basis points. Obviously, the first quarter performance, would suggest that there is opportunity to do better than that, but remind you a couple of things first the first quarter comparison was the easiest. Secondly, recall in the investor meeting in last month, that Tim commented that you know, our objective is to improve our margins 50 basis points a year for the next three years. And so we’re looking at this on a multi year basis and may have some opportunities to and needs to make some investments and productivity to setup for the continuation of that margin improvement. Free cash flow certainly still on track expected to equal net income, and as I mentioned before our tax rate at 32.5%. So solid start to the year and we’re on track to deliver strong financial performance again in 2012. So with that, let me turn it back to Tim for some concluding comments.
Timothy H. Powers: Okay, thanks Dave. Just to kind of summarize where we are in our markets for 2012, its consistent with what we said going into 2012, and what we said again in our investor meeting that the market trends in the industrial and utility areas of our business continued to be strong, but not as much of an increase as there was in 2011 over '10. I think the positive development is that the residential market, we believe it’s beginning to move in a positive way and that could help us certainly over the near-term. I would also comment that certainly the external world market and the volatility surrounding Europe is something that we all have to keep an eye on, but we’re not acting in any different way at this moment. We’re continuing with our focus towards the areas we can improve in our business and just keeping the watchful eye on developments outside of our control. Just to talk a little bit more about capital deployment, we have a certainly a very sharp focus on increasing our investment in new product development, certainly around areas where technology is changing that is new resources of light, new types of control of lighting, certainly areas where intelligence can be added and feedback loops added to some of our products for instances in the smart grid. And this has led to the need for us to shorten the life cycle of our traditional products and invest more in a shorter time period in several categories of our businesses. If you look at where we’ve been investing outside in terms of acquisitions, we completed two acquisitions in the fourth quarter, one in the first quarter and just completed another one, now none of these in total are huge, but on the other hand they are important little additions for us and we think we paid somewhere in the area six times EBITDA for this an we believe that its contribution to volume and to margin will be accretive to Hubbell going forward. So, what we would like to make larger deals and we're very much looking to do that, there is some, there are some out there and it’s just dependent on the traditional things that affect those transactions which are, willing seller and something that allows us enough space to add value to it in our portfolio. So I think Dave said the right thing here, reiterating the Investor Day is we’re trying to grow the total volume of Hubbell and at the same time, we’re trying to add 50 basis points of margin to our business and we know that that margin addition will not come exactly at 50 basis points a year, last year we came up 20 basis points short perhaps this year we'll do a little better, what happens to volatile materials cost and we don’t have this clear view on the second half of 2012, yet to be more confident to say more. So we are continuing with our game plan, our strategy is set, we think we’re pretty clear about 2012 at this point and very focused on getting those jobs done. So with that, at this point, we’d be happy to take more questions from you.
Operator: Thank you. (Operator Instructions) Our first question comes from Brent Thielman with D.A. Davidson.
Brent Thielman – D. A. Davidson & Co.: Hi, good morning.
Timothy H. Powers: Good morning.
David G. Nord: Good morning.
Brent Thielman – D. A. Davidson & Co.: Yeah, just a question on the, I guess activity in the high voltage business in the first quarter, any sort of signs of a rebound there as you work through Q2?
Timothy H. Powers: I would say the, we have a lot of possibilities, but this is a business where you need to have book the orders let’s say on the large systems six to nine months ago. And we understood that this first quarter would be a little lower than the previous year. The demand, world demand is out there for these products, the 800 KVA the DC transmission of high voltage current, all reasons why the demand for these products and demand for transformer and cable facilities will continue. So we are optimistic that particularly 2013 will look better. Right now, we’re expecting our 2012 to be in line with our guidance, which is good, but not at peak levels where it has been before.
David G. Nord: I think I’d also add that, that is the business one of our most volatile because it’s so project oriented and so, volatility in both the order patterns as well as the delivery patterns. And so you get between quarters, you can get some big swings.
Brent Thielman – D. A. Davidson & Co.: Okay, that’s helpful. And then you mentioned obviously prices down in excess of commodity costs at this point. Can you talk a little bit broadly about sort of opportunity for new price increases this year?
Timothy H. Powers: I would say you have to look back when you talk about price versus cost as you remember most of our businesses and particularly power were running more cost less price last year until the very end. And now I would describe where we are is somewhat in a period of catching up. We are raising prices in some categories in the industrial area in selected categories in our utility business, where if you look on a year-over-year basis the cost of materials is higher and particularly the cost of energy is higher than it was. In the categories, where market conditions are weak it’s not impossible to get price it’s just more difficult.
Brent Thielman – D. A. Davidson & Co.: Okay, thanks guys.
Operator: Our next question comes from Christopher Glynn with Oppenheimer.
Christopher Glynn – Oppenheimer: Thanks, good morning.
David G. Nord: Good morning.
Timothy H. Powers: Good morning, Chris.
Christopher Glynn – Oppenheimer: Dave I had a question about the Electrical incrementals, I think you mentioned running in the mid 20s range, but I calculate more mid-teens, were you adjusting out the pension and benefits inflation there?
David G. Nord: Yes, yes.
Christopher Glynn – Oppenheimer: Okay.
David G. Nord: I was just looking at their volume but that’s really one of the challenges there across the business but particularly in the Electrical segment, with some of the cost headwinds, pension being one, but also some of the other costs and areas of investment and it wouldn’t be surprised that some of that hits the Electrical segment particularly the lighting business where you’re making some investments on the technology side.
Christopher Glynn – Oppenheimer: Okay, great, thanks. And then Tim, I was wondering if you look at put in place is a leading indicator for your non-res and if there is a lag you think about that? Because we are noticing the public level off in that number and the private sort of accelerating?
Timothy H. Powers: Yes, we’ve talked about that before and we think the government stimulus spending on public buildings and the ability for state governments to raise money to continue to spend is declining, that whole category is declining and the good news for us is we’re beginning to see and it is just the beginning of the private sector increasing their investment. So for me these are the very, very early signs of the beginning of a turn in non-res. But I don’t know want to over sell it like in the next quarter or two you’re going to see an improving non-res market I think we’re bottoming, I think certainly what helps us is the relight and retrofit category which the payback numbers get better and better. So, I think that’s our short-term benefit.
Christopher Glynn – Oppenheimer: On the relight, do you have any big national accounts of approaching any end of life programs or end of life of programs or any dynamics like that over the next few quarters?
Timothy H. Powers: We are doing business with some of the largest customers that there are in this space. The people that own their buildings and facilities and we are doing extremely well with them. So we’re very pleased with our retrofit and relight business and also the continued growth of our LED lighting business. So those are all chugging along at very healthy growth rates.
Christopher Glynn – Oppenheimer: Okay, thank you.
Operator: Our next question comes from Rich Kwas with Wells Fargo.
Deepa Raghavan – Wells Fargo Securities: Hello.
Timothy H. Powers: Hello.
Deepa Raghavan – Wells Fargo Securities: Hi, this is Deepa Raghavan I’m filling in for Rich Kwas. How are you today?
Timothy H. Powers: Good thanks.
Deepa Raghavan – Wells Fargo Securities: Hey, one quick question, you this is on acquisitions in the Electrical segment. I know you did not mention it under your operating margins section for electricals but have your acquisitions been dilutive in this current quarter and when do you expect it to be, if they are when do you expect it to really start being accretive?
David G. Nord: The acquisition impact in the quarter was neutral, they weren’t dilutive in total. There are some that is better, some that are worse, but overall, they were neutral with margins.
Deepa Raghavan – Wells Fargo Securities: Okay. And my next question, would be do you expect operating margins to follow kind of like the same seasonality or like it did last year on Electrical segment, or will it be better?
David G. Nord: Well, we would hope to have better margins in every quarter but certainly that the seasonality is a pattern that we can’t avoid with construction season so second and third quarter will give higher volume which generally give high margins, but I don’t expect any significant change from historic pattern.
Deepa Raghavan – Wells Fargo Securities: Okay, thank you. Appreciate it, that’s all I had.
Timothy H. Powers: Okay.
Operator: Our next question comes from Steve Tusa with JP Morgan.
C. Stephen Tusa Jr. – J.P. Morgan: Hey, good morning.
David G. Nord: Good morning.
Timothy H. Powers: Hey, good morning, Steve.
C. Stephen Tusa Jr. – J.P. Morgan: On the price cost, I am not sure if you answered this, but obviously a favorable number here in the first quarter, does that, is that kind of stable throughout the course of the rest of the year, does that kind of go down from here that spread? Or how do you think about that going forward?
Timothy H. Powers: I think the spread, tends to go down because it’s a year-over-year comparison, its still positive but in the diminishing amount, but obviously that, and there is two dynamics that we focus on there, one is trying to hold that the price increases and make sure that we maintain that and as I have talked about in the past that’s not always as easy as when commodity cost moderate. So we’re carefully watching that. The other is always the volatility on the commodity cost and I think, you’ve got a dynamic that for example if copper stayed its current level, while its positive over last year, but the fourth quarter it would be negative because you had a big drop.
C. Stephen Tusa Jr. – J.P. Morgan: Right.
Timothy H. Powers: So the quarterly compares are a little more volatile, but right now we see that being positive throughout the year just at a diminishing amount.
C. Stephen Tusa Jr. – J.P. Morgan: So is this better than you expected three months ago or for the whole year or kind of in line with your expectations?
Timothy H. Powers: The price cost is a little bit better than we expected. Started the year a little bit better thankfully, but we’re still trying to navigate that other inflationary cost headwinds as I mentioned that we would typically cover with productivity, but the magnitude this year, we’re trying to hold price to offset that as well.
C. Stephen Tusa Jr. – J.P. Morgan: Right. And then some of the dynamics just on commercial construction activity, I mean is there - are there any ray of hopes that ‘13 is a better year? Is there anything that makes you worried at this point in the cycle it should be doing better or is this, just an area where, it’s kind of tracking as you would expect from a cyclical perspective?
Timothy H. Powers: I think we’re looking at a long slow turn just as we’ve seen in the residential side of the business. And the impediments to improvements are similar to what they are on the residential side. There is a need to refinance a lot of debt on the non-residential side. So, I think it will continue to trial the uptick in the residential market by 12 to 18 months as it always has and if the length and duration of this recession are continue to be what they are I would say it would be closer to the 18 months. So there is a hopeful sign on the residential side and I think what we’re seeing is that little bit of swing back to the private investments on the non-res side, which to me is something that is a precursor to an improving market.
C. Stephen Tusa Jr. – J.P. Morgan: Right. Thanks appreciate the info.
Timothy H. Powers: Okay thanks.
Operator: Our next question comes from Scott Davis with Barclays Capital.
Scott Davis – Barclays Capital: Hi good morning guys.
Timothy H. Powers: Good morning.
David G. Nord: Hi, Scott.
Scott Davis – Barclays Capital: Tim, I want to ask kind of a big picture question it’s just related to international business. How do you think about the importance of scale there and I think part of the context of my question is that if you look at one of the reasons why Thomas & Betts shows this all, their sale was kind of lack of international distribution, or just lack of scale, I should say. And how important is it in your particular markets and if it’s important in, do you have it or do not have it or how can you get there, I think many questions in one, but if you can address that please?
Timothy H. Powers: Sure, well if you depends if you’re focusing on the entire electrical business or you’re focusing on the parts that we operate in, which is connectors and components and roughly about half of the market. So within this space we operate in, we feel because we’re focused on the North American market that we have ample scale to succeed and while we have a lot of opportunity to grow in that market and we said we’d love to be twice the size of what we’re in North America and we feel the advantages of that accrued to stronger position in the channel and so on. We are quite comfortable where we are and the fact that we’re not spread over the world at our size is a good thing and this is a business that is primarily driven by North American Standards, the products are primarily made within the market and sold within the market. And so we see ourselves as the second largest producer in North America in our space. So we think, we have a number of economic advantages, we’re quite pleased to continue to grow, the way we are and there is two areas that we would like to grow worldwide, and that would be the harsh and hazardous businesses and our utility business. And our utility business we have North American Standards, and we would love to have the IEC type products in the same product range to go with it and in the harsh and as it is you have also two standards and we would love to have the European, more of the European Standards in our basket of products but I believe we are well positioned in the space we’re in, in a part of the electrical business that is primarily a local business. And I think we have the scale to succeed and grow exactly where we are. So we’re quite comfortable with our position and we think we’re focused in the right areas of growth and staying within that component and connector space in the core markets we know.
Scott Davis – Barclays Capital: Sure, it makes sense. Again another big picture question so I think everyone has asked the nitpicky stuff by now but, when you think about kind of the future in this business and the changes in distribution is does it become more important to have a broader product line in scale showing the distribution I mean is there, is there a greater interest in some of your distribution or your distribution partners to have less suppliers and have you carry a broader product portfolio? And then kind of part of my question is, too, you’re seeing with some distributors you know increasing the amount of private label product and such and again how do you combat, how do you combat that type of a trend
Timothy H. Powers: Sure
Scott Davis – Barclays Capital: So two questions there, but…
Timothy H. Powers: We’ve always said that we are focused on being a brand oriented company and what is important to distributors as they have those powerful brands that mean something to industrial or non-residential construction consumers of the products. So why you can grow your breadth of your product, you need to grow with the key brands that are important in our marketplace. So we are always after those names that add to our portfolio as we were, when we purchased Burndy that was a tremendous acquisition from the point of view that it made our lineup more attractive to distributors because it was Burndy not just because it was anybody. It was the market leading position in a space in the connector and component business. There will always be a place on the other hand for low cost imports at those places in the market, where it is a price only feature, lowly valued space. I don’t see that winning any more market share than it has in the past. Because most manufacturers in our space have added our products that compete with those low first price product. So its important about what you add to your lineup rather than just be bigger.
Scott Davis – Barclays Capital: Okay, just quickly for Dave, I wanted to get a sense of if the LIFO accounting helped you this quarter, and if you can quantify that at all?
David Nord: There was no real impact there, this quarter.
Scott Davis – Barclays Capital: Okay, all right. Thanks guys.
Operator:
Jeffrey Sprague – Vertical Research Partners: Thank you. Good morning everybody.
Timothy Powers: Good morning, Jeff.
Jeffrey Sprague – Vertical Research Partners: Good morning. Tim can you just provide a little bit more color on kind of the nature and scope of the transmission project that you are involved in, and kind of you know what I am thinking is there common thread renewables interconnects around the 1,000 or some other kind of clear underlying trend that’s driving the business?
Timothy Powers: I would say there is a couple of themes that continue in the marketplace. Certainly the renewables one for wind and energy is not built out yet, and has a number of key projects to go before the projects that are currently finished today have been completed. And there are still a number of solar projects on a drawing board and for which now we would expect to win some of the anchor business that goes underlying the solar panels. So that trend is continuing as long as there’s some subsidy and support for the cause disadvantage. So that’s one category. The second one is, sort of what I recall the FERC demanding more safety and reliability and better percentage chance of power reliability in bad weather. And they have come down on the industry around compliance with their rules and regulation. And so they are out, the utilities are out testing their lines. They are out replacing some of them when either the capacity is not adequate or the amount of power that can be brought to a city is not totally redundant. So we’re getting that, I would call adjust the grid category. And then adjacent mergers between utilities are creating demand for the inner connectivity in a bigger footprint. So we are talking to utilities about how they better utilize an expanded footprint of power generation so that they can get power from one side to the other of their newly expanded geography. And then another category is kind of the creation of these transmission businesses, with a guaranteed rate of return that allows them to make investments, they could not have made in the past. So we are getting some power lines built that have long been needed but because they are the focus of a transmission entity, some of these are going ahead, whereas they may or may not have been in the priority in the hands of the entire public utilities. So those are the kind of budgets of demand that we see right now and we are encouraged with the early start on that for 2012, and we see still a long pipeline of projects that are anticipated to move forward. And we will know we believe in the second quarter, this is when we have some early releases. So we will see in the second quarter if this develops into a stronger year than we anticipate or exactly how it plays out. But usually you get three to six months lead time for our products, so any things determining are the gating item on that are getting the right-of-way and clearing the right-of-way. So kind of that’s a long answer on the transmission business. But generally positive and could be better than we expect.
Jeffrey Sprague – Vertical Research Partners: That’s long answer, and exactly what I was looking for, I appreciate that. And the 2% pricing is obviously nothing to sneeze at all, but is there any particular products areas that are getting type from a commodity availability standpoint or anything production capabilities to deliver on that potentially could further drive and inflection and price positive.
Timothy H. Powers: I’d say materials are readily available with a couple of exceptions, I would say the industrial usage of silver in some of our products is somewhat an issue Rare earth as it pertains to the entire electrical business is expensive. And not always easy to find, but generally speaking there is a very good availability of materials and nothing that I would point to that impairs our ability to deliver more product even though in some cases, we are having to invest in machinery and equipment to expand individual product categories we still have ample room in our plan to do more. And we would love to do it, we have more capacity on second on third shifts. And so we’re more than happy to accommodate an increasing and healthier market.
Jeffrey Sprague – Vertical Research Partners: Okay, and just back on this deal you characterized it as small but I think, I think it was $42 million just thrown out so that is not tiny obviously. Give us a little more color on what it is you actually just brought.
Timothy H. Powers: Sure. It’s a product line called JMAC, it is a outdoor weather proof boxes, it is a similar category to our Bell brand that goes with RACO. It will sell to DIY and electrical distributors. It’s got significant intellectual property with the number of patterns around these product lines. And we think that it’s a very nice addition to our box and fittings business, which we have not added on to for a long time. So we’re very pleased with that we think there is an opportunity to leverage it although again it’s relatively small addition, but very we look upon it very positively.
Jeffrey Sprague – Vertical Research Partners: And then just finally was there any meaningful FX impact in any of the segments in the quarter? I guess no, but
David G. Nord: No, nothing meaningful, yeah.
Jeffrey Sprague – Vertical Research Partners: All right, thanks a lot guys.
David G. Nord: Okay.
Operator: Our next question comes from Jeff Beach with Stifel Nicolaus.
Jeffery Beach – Stifel Nicolaus: Good morning, Tim and Dave.
Timothy H. Powers: Good morning, Jeff.
David G. Nord: Good morning, Jeff.
Jeffery Beach – Stifel Nicolaus: Hi, I have a question on the Power segment or couple of questions. Can you give us an idea of the distribution growth and whether that trend is in spending is strengthening. And then on the international side of the business, what are the drivers in which countries or regions are the most important to you in the international side?
Timothy H. Powers: Sure. I think some of our improved business in distribution maybe the good weather that allow more crews to be out and about. We’ve seen the necessity as I explained on the transmission side for utilities to improve the reliability also on the distribution side. I'm not putting any big positive effort for thoughts behind them changing their spending pattern relative to electrical consumption. But they know there is areas, where they need to improve reliability and I believe there is spending on that. The international part is certainly first keyed round transmission lines. So if you look and we’ve talked about, Brazil as one area, where there are some large projects actually happening to bring power from the northern areas of Brazil down to the large cities in the south. Some of those power lines are 2,000 miles long and will lead to large quotations on transmission type products that we supply. Asia is another category another area with a rapidly growing population and rapidly expanding cities. And getting the power into those cities is an ever more are pressing need. So, it would be the transmission that leads it. And rural electrification would be kind of secondary one. So Brazil has spent and is spending money to get more electricity to the areas that haven’t had itself on a country-by-country basis that can be a factor also.
Jeffrey Beach – Stifel Nicolaus: Hi, and as a follow-up question, just to be sure did you say that you’ve purchased 549,000 shares in the first quarter.
Timothy H. Powers: Yes.
Jeffrey Beach – Stifel Nicolaus: Okay. Thank you.
Operator: Excuse me. (Operator Instructions). Our next question comes from Mike Wood with Macquarie.
Unidentified Analyst: Hey, guys, this is Adam in for Mike. Quick question on lighting business, can you went through, kind of overall growth again and kind of by segment in terms of relight, retrofit versus new construction or project?
Timothy H. Powers: I’ll give you a couple of thesis there. The overall business was up low single digits, really driven by the residential market in the multi-family, C&I business that was obviously lower the relight, retrofit as we try to capture it in the businesses that we have that focus on that either specifically or if you look at the products, that was continuing at the 20% growth rates that we have been experiencing. So that would tell you that the other parts of the C&I business were flat to slightly down.
Unidentified Analyst: Thanks guys.
Operator: It appears, there are no further questions at this time. I’d like to turn the conference back over to management for any additional or closing remarks.
Timothy H. Powers: Okay, we’d like to thank everyone again for joining us this morning, certainly if there are any follow up questions, you can reach out Bill Sperry or I, will be around today and tomorrow if there are any follow ups. So thank you again for joining us.
Operator: This concludes today’s conference. Thank you for your participation.